Operator: Hello, everyone and welcome to the Johnson Outdoors First Quarter 2019 Earnings Conference Call. Helen Johnson-Leipold, Johnson Outdoors’ Chairman and Chief Executive Officer will lead today’s call. Also on the call is David Johnson, Vice President and Chief Financial Officer. [Operator Instructions] This call is being recorded. Your participation implies consent to our recording this call. If you do not agree to these terms, simply drop off the line. I would now like to turn the call over to Patricia Penman from Johnson Outdoors. Please go ahead, Ms. Penman.
Patricia Penman: Thank you. Good morning and welcome to our discussion of Johnson Outdoors’ fiscal 2019 first quarter results. If you need a copy of today’s news release, it is available on our website at johnsonoutdoors.com under Investor Relations. I also need to remind you that this conference call may contain forward-looking statements. These statements are made on the basis of our current views and assumptions and are not guarantees of future performance. Actual events may differ materially from those statements due to a number of factors, many beyond Johnson Outdoors’ control. These risks and uncertainties include those listed in our press releases and filings with the Securities and Exchange Commission. If you have additional questions following the call, please contact either Dave Johnson or me. It is now my pleasure to turn the call over to Helen Johnson-Leipold.
Helen Johnson-Leipold: Good morning. Thank you for joining us. I will begin with comments on performance this quarter and outline key priorities for the year ahead. Dave will review key financials and then we will take your questions. During our fiscal first quarter, the warm weather outdoor recreational industry is in preseason ramp up mode, preparing for the primary selling period during the second and third quarters. Consequently, first quarter results alone are not necessarily indicative of full year performance. As the season ticks into gear, we will start to see consumer sell-through which we believe is the truest measure of new product success. This year, first quarter sales were $104.4 million and operating profit was $6 million, both fell short of last year’s record high first quarter performance. On the upside, net income was $3.5 million or $0.35 per diluted share, a nice improvement over last year at this time. Dave will provide more details on what factored into the quarter’s results in his remarks. This year’s exciting new product lineup particularly in fishing is building strong favorable momentum heading into the major selling season for warm weather outdoor products. We said that the past 2 years have tremendous growth in fishing with unprecedented and that we expected this business would continue to grow at a more moderate pace going forward. And based on everything we are seeing at this time, we still expect year-over-year sales growth in fiscal 2019. And as we take the longer term view beyond 2019, the future looks great. Our new 2021 strategic plan builds on the foundation for growth we have built to take all our businesses to the next level. First, we are playing in the right outdoor rec market on land, on water and in the water. Participation in fishing, camping and hiking, paddling and diving continues to be strong. Second, we have formidable combination of unsurpassed knowledge, proven expertise and passion for delivering the best outdoor rec experience possible. Third and most importantly, when combined with our deep understanding of and focus on our target consumers, we have a distinct unique competitive advantage. In the years ahead, we will build on our strength, grow our capacity and expand our capability. There are five key drivers to future growth. Number one, a sustained and more intense focus on the high potential outdoor recreational consumer segments in everything we do from product ideation to new product innovation, from distribution to marketing to consumer services and so much more. More than ever, our goal is to be at one with the consumers knowing who they are, where they are and what makes them tick. It’s all about uncovering the key insights that will lead to bigger, better, new products success and deeper relationships between our consumers and our brands year-after-year. Importantly these insights enable us to better target the right consumer with the right product in the right place and in the right way. That’s a winning combination in every marketplace. Two, accelerated digital sophistication. More and more, people go online to learn about outdoor recreational activities and plan their trips. It’s where they shop or gear by equipment and share their outdoor experiences. We have built the infrastructure and framework necessary to ensure our consumers have a great online experience in today’s rapidly changing digital age. Now, we are focused on strengthening our marketing and e-commerce resources to maximize these investments to drive growth across our distribution channel. Three, sustained innovation leadership, we have iconic brand and the legacy pioneering innovation in our space. We continue to refine an improved and robust innovation process to ensure continuous pipeline of new products that provide distinct meaningful added value for our target outdoor consumer. Products would value that extend beyond a single new product cycle. We are very pleased by the positive momentum that’s been building behind our Johnson Outdoors 2019 new product line up. For example, we are getting great response to our new one boat network platform in Fishing which enhances the ease and fun for anglers by enabling Minn Kota and Humminbird products to work together in unison. Also on deck this year is the integration of Humminbird and Mega Down Imaging into select Minn Kota fishing motors another first from Johnson Outdoors. In camping our new generation flash cooking stove has the fastest boil and cooking time ever and its heating up that market. And in Watercraft Recreations the new Old Town top water offers large fishing kayak for performance in a compact and a nimble package which is making ways to net segment. Net-net, innovation is key to our sustained marketplace success, so we are not resting on past laurels. We are doubling down and investing for sustained innovation leadership. The fourth key driver of our new plan is identifying new sources of growth. In our markets, we are looking at new organic growth, new applications of technology and of course, new brands and technologies. We have got an active radar screen always giving us a view to the companies, the brands and the technologies that are out there. Importantly, our strong cash position provides us the opportunity to move when the right opportunity at the right price comes along. Lastly, the fifth key driver of our new plan recognizes what has always been and always will be the secret sauce behind our 50-year legacy of continuous growth and success. Very simply, at our core, Johnson Outdoors is a family of adventures, people with a passion to fish, camp, hike, scuba dive and paddle. Our love for the outdoor recreation is a unique common bond we share with outdoor adventures everywhere. We know what makes a great outdoor experience and job number one everyday for everyone here is to stay on the cutting edge of deign and technology to deliver just that. Our ability to continue to grow our family of talented inspired adventures is key to long-term success. Looking ahead, we are very excited by the future we see for Johnson Outdoors and believe we are on the right path to maximize our growth potentials. In summary, we believe our brands are well positioned for long-term marketplace success and confident Johnson Outdoors sustained industry leadership will continue. Now, I will turn the call over to Dave for more details on the financials.
David Johnson: Thank you, Helen. As Helen said, prior year comps were unprecedented and growth from such a high base was a challenge. Now, a shift in pacing of new product releases was the key driver behind the revenue comparison and we do expect sales to grow for the full year. Gross margin improved 0.5 point to 42.4% in the quarter despite the pressure from recently enacted tariffs which had a negative impact of about $700,000 during the quarter. While we continue working on various tariff mitigation efforts, at this time we are still projecting tariffs to have a potential $6 million to $9 million impact on the fiscal ‘19 profits. Year-over-year, operating expense dollars declined $3.4 million due in part to lower sales volume and also due to unfavorable market conditions which lowered the assets of the company’s differed compensation plan and caused an offsetting loss in other expenses. Net income benefited from a significantly lower effective tax rate of 18.7% in the quarter. Last year’s first quarter tax rate reflected some one-time charges of about $6.8 million related to the 2017 tax reform act. For the full year we are anticipating the tax rate to be in the mid 20’s range. Lastly, I will comment on inventories which are $24.5 million above last year’s quarter primarily driven by fishing. In anticipation of impending tariffs we purchased some inventory prior to them going into effect and we are building inventory for the seasonal demand. We expect comparisons prior year will improve over the next few months. In summary, we continue to benefit from our on-going efforts to improve operational efficiency enabling us to strengthen margins and keep working capital in check. The balance sheet remains strong providing us the financial capacity and flexibility to strategically invest in growing our business. We are also paying a cash dividend to our shareholders. Now I will turn things back over to the operator for the Q&A session.
Operator: [Operator Instructions] And our first question from George Kelly from Imperial Capital. Your line is now open.
George Kelly: Hi. Thanks for taking my questions. First, if we could start just on the fishing side of the business, can you talk about what gives you confidence in your expectation that you will be able to grow revenue for the full year. And then second question on the fishing business is just can you help sort of frame the new products that you have this year and specifically the integrated Humminbird and Minn Kota, the trolling motors? How big of a new product launches that it seems like it’s a big new feature, so just trying to understand better if I am thinking about that right or how big of a deal is it I guess?
Helen Johnson-Leipold: Hi. This is Helen. Let’s start with why we feel good about the year and I think you know fishing in general is the new product launches have it’s not just a 1 year cycle, it is a 2 year cycle. And I think some of the differences year-to-year have to do with is it the fact that you have a lot of new products or is it the first year. And when we are in the launch phase, it’s all about when we get the product ready and when we are ready to get it in the market, but again the first quarter is really a lead into the big two quarters season and so this year we see the momentum, but we know that there is a – customers are excited about the product, but it is really about the consumer takeaway. So we are in more of the first year of some new product launches and maybe it’s more about pacing than any thing. So the other piece of it is we talked about the innovation and again it’s not just one new product and we have mentioned one new product, but you really at you are in the second year of other new products. And consumers are – these are longer purchase cycle products, so you have got 2 years to 3 years worth of new products having a chance to grow and to find the consumers that are in the right time in the right cycle. I am certain there is people who get a new motor every year, but the majority of them are motors are high quality, last for a while and so you have got re-cycling new consumers into the market every year. So it’s not just the clean this year, last year kind of evaluation. So the momentum is what we see and we – the excitement about the new products and still we have got other products in the market that we launched already that still have room to grow. So again back to the first quarter is not indicative necessarily of the full year, but we do know that there is excitement behind the new products that we have launch. So Dave you can add anything if you think there...
David Johnson: No, I think it’s spot on. I think we have got some new products coming out that we feel good about. But kind of getting to your second question, I mean I think we don’t expect these growth rates that we hit last year, so we do expect growth, but it’s going to – it won’t be as much.
George Kelly: Okay, that’s all really helpful. And then just I guess one follow-up to that is – and then I do have one other question, but it’s just the inventory position at retail how – does is it look pretty clear now?
David Johnson: Yes. From what we can tell, it looks pretty good. There is not any pent-up inventory there.
George Kelly: Okay, that’s great. And then so I will add two more quick questions, one you talked about as one of your key growth initiatives you talked about new sources of growth and it sounded to me like ancillary products things that you weren’t currently doing right now. Do you feel that’s come up a few times on these calls, do you fell like you are getting close on any thing, can you say anything else there and then the last question is just about tariffs and have you applied for exemptions, is that still an ongoing process? Thank you.
Helen Johnson-Leipold: I will respond to your first point. New sources of growth can come from a lot of different slices and I know where you are going which is are we looking at acquisitions externally and I can tell you we are always looking and we keep a very comprehensive radar screen so where we are, what’s out there. And new sources of growth can come from the application of new technologies. New sources of growth can come from a new consumer segment within your same product array. So we are very much we think having more sources of growth meaning that there are true new sales not kind of listed is very critical to our strategy long-term, but it’s not necessarily just buying a new brand or new company. But again we are up always looking and if there was a strategic fit, certainly we would be all over it. So we feel good about innovation across multiple areas and that includes innovation in marketing, it includes picking up new consumers. It includes applying new technologies to existing products. So it’s more than just one area, but again we have a lot of things going.
David Johnson: And just on tariff question we have applied for exclusions with the USTR and waiting to hear. So I think the shutdown kind of slowed things down for a lot of people and we are just waiting to hear on those exclusion requests.
George Kelly: Thank you.
Operator: Thank you. Our next question is from Anthony Lebiedzinski from Sidoti & Company. Your line is now open.
Anthony Lebiedzinski: Hi guys good morning and thank you for taking the questions. So first just the kind of clarifying or housekeeping item I don’t know if you can quantify this, but obviously you called out the fishing segment being impacted by the shift and pacing in terms of new product introductions, can you perhaps give us senses to the dollar amount that you think was affected by this shift?
Helen Johnson-Leipold: It’s not a shift in pacing. It’s just pacing in general. So there is no long-term trend or anything here. It’s just a matter of when new products are available to get out there. But we can’t quantify that unless – Dave, do you have any insight?
David Johnson: No, I – yes, we won’t quantify it. Yes. So, sorry, we’ll just have to leave it at that.
Anthony Lebiedzinski: Okay. That’s fair. Okay. And then Helen, you talked about the part of the strategic plan is to sustain innovation leadership. So, how should we think about R&D spending relative to your revenue? Do you expect to spend more or kind of the same or – broadly speaking, any sense that you can give us in regards to your R&D spending?
Helen Johnson-Leipold: Well, specifically R&D, I think we don’t see significant changes in the spend. And I would say, innovation is not necessarily focused in the R&D area, because it’s a matter of, there is a lot of research and understanding the segments in the consumers and that’s an investment in, well, which is we are certainly making that, so we can uncover the insights that then drive the R&D to develop the relevant products. So, hopefully, that answers your questions.
Anthony Lebiedzinski: Yes. That definitely helps. Yes, thank you for that. And as far as for the quarter, the gross margin was up even though there were some noise with the tariffs. So, what were you able to do to actually improve your gross margins on a year-over-year basis?
David Johnson: Yes, it’s pricing and cost containment elsewhere really and it’s been – it was kind of across the board. So, we – and some discounting was down too for the quarter. So, it’s kind of a variety of things, but mostly strong pricing in the marketplace.
Anthony Lebiedzinski: Got it, okay. And can you also just give us a sense for priorities for your cash flow usage?
David Johnson: Sure. As Helen talked about, we’re always looking for opportunities to grow, so that’ll be priority number one, both internally and externally. We’re again very active out there in the marketplace to understand the opportunities. The dividend, we’ll continue to look to try to enhance and strengthen that dividend and that’s very important for us to keep that healthy and growing. And then beyond that, we always look at other things too, I mean, we look at other ways to get cash back to shareholders, and if any of those are attractive to us, we’ll take a closer look and announce that.
Anthony Lebiedzinski: Got it, okay. Alright, thank you very much.
Operator: Thank you. Our next question is from Brian Rafn from Morgan Dempsey Capital Management. Your line is now open.
Brian Rafn: Good morning, everybody.
David Johnson: Good morning.
Brian Rafn: What – when you guys look at your new product launches and you’re talking about a 2-year or 3-year cycle, how do you price the products off the launch, are you building pricing, is it a little more of a discount to get the early adopters, how do you take pricing with the new product launch?
Helen Johnson-Leipold: Well, with our launches, our main goal is to provide a added value to the consumer, and I would say, that is the opportunity to get the pricing, because there’s relevant value that they need. So, it’s definitely that with new product launches, you should be able to charge for the innovation and that’s our approach. We certainly do not take the discount.
Brian Rafn: Okay. And what – Dave, what’s CapEx plans for this year?
David Johnson: Yes, it’ll be down – we expect it to be down. Last year, we had a big bump up last year, so I’m thinking like mid-teens like $15 million, $16 million versus – I think was $19 million last year.
Brian Rafn: Yes. And how is that allocated across the different segments that – then you specifically need to stand out?
David Johnson: Yes, no, it’s pretty much the same, which is continue to drive growth with molds and other types of innovation. There’s not a ton of capacity in there – capacity growth in our CapEx. So, it’s pretty much the same as we have always done.
Brian Rafn: Yes. I missed just the first couple of minutes of the call. What are you seeing relative to new spring season trends in order patterns be it with big box, category superstores or some of the little boutiques?
David Johnson: Yes. We haven’t seen any anomalies. I mean, I think it’s been pretty much what we expected. The weather needs to hold, but – and Helen kind of alluded to it, I think for the most part retailers are pretty excited about our line-up that’s coming out.
Brian Rafn: Got it. And then what – any – what might you guys be from the standpoint of operating capacity? Are you running, obviously, earlier in the year, you’re running – how much overtime or three shifts or what are you doing specifically in the fishing area, electronics?
David Johnson: Yes. I mean, we’re not running super-heavy at least through December, but we are going to ramp up here in the season and we’ll really be running hard here in this quarter.
Brian Rafn: Got it. What from the standpoint on the tariffs, are you continuing to order into the early part of 2019 or was that inventory safety stock, margin safety, was that really just a one-time deal?
David Johnson: Well, we ordered ahead of the tariffs, so that was kind of a one-time deal now that with the tariffs are in place, we’ll just continue to run the business as we can with that in place. Hopefully that answers your question.
Brian Rafn: Yes, okay. And then what – I didn’t see it from the standpoint, what are you seeing on the diving side, again, a little softer?
Helen Johnson-Leipold: Well, again, it’s the first quarter. We’re very – we’re excited about the future for diving, we’ve got – there’s some things going on in Asia and Asia has been key growth for us, we don’t necessarily see that as a longer-term trend. It just hit us this quarter, but we’ve got a good new product pipeline that we’re developing and I feel pretty good about that business for the long-term.
Brian Rafn: Yes. Dave, do you – did you mention what new product sales were in the quarter whatever your barometers trailing 2 years or 3 years?
David Johnson: Yes. It’s – we target a third and I think we’re above that target. I don’t have the number in front of me, but I think we’re at expectation with that for the quarter. And again, it’s pretty seasonal, so it’s hard to actually give that as a barometer.
Brian Rafn: Got it. Okay. Alright, that’s good. Thanks so much guys.
David Johnson: Thank you.
Operator: Thank you. [Operator Instructions] And our next question is from Brian Rafn from Morgan Dempsey Capital Management. Your line is now open.
Brian Rafn: Yes, hi, just forgot one. What the – anything on the camping side relative to military sales?
David Johnson: No, it’s pretty much steady for us. Nothing has happened so far in – good or bad in military, so we’re kind of at a flat basis basically.
Brian Rafn: Yes. Let me ask you on timing when you’re doing new product launches and you’re doing the R&D for that. What are – what’s kind of the cycle time between maybe design ideation, conceptualization, prototyping, what are some of that maybe the cycle time differences between fishing, electronics maybe camping, diving and then watercraft?
David Johnson: It’s –
Helen Johnson-Leipold: Well, there is all given the higher technology aspects of some of the businesses versus others, I think that puts some variability in the timeframe. But I will – we are trying to get ahead of the game in getting three in our pipeline that’s pretty continuous. But the true breakthrough kinds of products that have a longer development cycle than some of the line extensions obviously, but there is a – there is a significant investment in refining the idea in the concept and doing that the prototyping and again it’s – it varies. So, it’s really hard to put any kind of – it just depends, but we’re not short – these are not short development cycles, they are long.
Brian Rafn: Yes. And what – if you were to bracket a range between very high technology with a lot of electronics versus something that may just be aluminum paddles or something in the watercraft, what might be that, I mean, what’s a very, very complex maybe new product, what might that be, would that be a period of years or months or quarters?
Helen Johnson-Leipold: Yes, definitely it’s not months. I mean, we have to – you have ranges between 1 and 3 years development. And that’s – so I don’t think I would say months of – across.
Brian Rafn: Yes, sure. Okay, hey, thanks much.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Helen Johnson-Leipold for closing remarks.
Helen Johnson-Leipold: Thanks everybody for joining us and I hope you have a great day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect.